Operator: And I think we have everyone with us now, Christina.
Christina Lalli: Okay, great. Thank you, Gaylene. Good morning, everyone, and welcome to the TRX Gold Corporation Second Quarter 2023 Financial Results Presentation and Webcast. We thank everyone for joining us today. We appreciate your time and your following. Today, I have with me our executive team. We have on the call Stephen Mullowney, our Chief Executive Officer; Michael Leonard, our Chief Financial Officer and Andrew Cheatle, our Chief Operating Officer. So, we will go through the presentation and toward the end of the hour, we will follow-up with a Q&A session. So, I invite all participants to either ping us through the Q&A chat room. You can also lift your hand if you can find that on the Teams app and we’ll be pleased to answer all of your questions. If for any reason, you have trouble connecting today, please reach out to me personally via email or phone call, and we’d be pleased to answer your questions. So Stephen, I’ll pass the floor to you.
Stephen Mullowney: Yes. Thank you, Christina, and welcome everybody to our Q2 2023 results webcast. To start off, obviously, I have to mention the cautionary notes and forward-looking statements. You can find this on our presentation on our website, and I’ll just leave it at that. So for those new to TRX, I’ll just go through this very quickly. I’m a lot of the investors and people on this call are familiar with this slide. TRX, what does this stand for? We’re a team of experienced leaders. You see us on the line that are continue to deliver on various milestones and are rapidly growing the Buckreef project in conjunction with our management team at Buckreef Gold mine site. We’ve had rapid production growth over the last year. We’ve had two planned expansions that come online, on time, on budget and are operating very, very successfully. We’ll get into that as we get through a presentation. And the Buckreef property special mining license has significant exploration upside. There are lots of targets on this property. And we’ve displayed this over the last year or so, particularly with Anfield that used to operate even the extensions to our Anfield Main zone. So, just a brief overview of the Buckreef Gold property. It’s a 2 million ounce plus gold deposit in the Measured and Indicated categories another 600,000 ounces in the Inferred categories located in Tanzania. What we like about this deposit, it comes to surface, it’s flat. It has great widths at 20 meters or approximately 20 meters broad. It has consistent gold mineralization throughout the deposits along a 1.5 to two kilometer strike at about three Main Zone. We’re fully permitted, which means we can continue to grow this asset production profile without getting major overarching permits in place. They have current special mining license go to 2032, it’s an extendable for a 10 year periods to the end of life of mine of deposit. Our processing plant has consistently beating production guidance. It’s also straightforward metallurgy in a grind crush CIL. We have minimal environmental footprint. We’ve recycle water. We’ve have a good tailings management program. We’re on the national grid. And as I mentioned, we have significant exploration potential, which always brings a smile to my face, and Andrew will get into that in a few minutes. So, with regards to the Q2 2023 highlights, again our 1000 tonne per day mill is operating great. We prepare commercial production on that mill in November 2022 and the last quarter produced over 5,600 ounces of gold which is a 164% percent increase over the last similar quarter in 2022. Records at Buckreef, we’ve recorded positive operating cash flow again, which is funding our exploration and operational growth. We are going to advance third mill expansion, that mill has been ordered. That will increase throughput capacity between 75% to 100% by fiscal 2024. We continue to advance to much larger project. So we have geo-tech work ongoing, metallurgical work ongoing, tailings planning ongoing, and other things, and Andrew will get into that in a few minutes further on down in the presentation, but this is to get a much larger project at Buckreef, which we believe the potential is there. We’ve continued drilling in the last quarter, particularly around the Eastern Porphyry and the Anfield zones. And Andrew, will give a highlight of that in a few minutes. And most importantly, everybody is safe on-site, zero lost time injuries, no reportable environment, or community related incidents in the quarter. We did have a release that we add over a million hours with no lost time incidents. That continues to be the case, which we’re very lucky for, and I’m going to knock on wood on that because I like that to continue. So, without further ado, I’d like to hand the presentation over to our Chief Financial Officer, Mike, and he will go through our Q2 2023 results.
Michael Leonard: Well, thank you, Stephen, and good morning everyone. Thank you for joining us. Stephen touched on Q2 was another strong quarter for the Company and we continued to see the benefits through the financial results. Again, it was the first full quarter of our new 1000 tonne per day mill operating at capacity. And as a result, in the operational last time, we produced a record 5,636 ounces in the quarter and we sold just over 5,500 of those ounces at a realized price of $1,845 per ounce benefiting from the recent price in gold prices, which of course, touched a north of $2,000 an ounce very, very recently. In the quarter, we recognized revenues of over $10 million. An operating cash flow of almost $5 million which we substantially reinvested back into the business. And amongst other things, we’ve expanded our tailing storage facility, for example, which will accommodate our much, much larger production that Stephen touched on earlier. We’ve relocated a road which will allow us life of mine access through the through the Main Zone. We continue to drill. We drill over 1,400 metres that Andrew, will touch on shortly, of exploration drilling as well as grade control drilling. And we’ve also purchased pieces of capital equipment, things like gensets, generators, which effectively will replace equipment that we had rented previously and overtime bring down cost for us. So, in summary, we continue to use that organically generated cash flow that the operation is generating to help grow the business. On the cash cost side, we recorded cash cost per ounce of $888 dollars an ounce, which was above what we recorded in Q1, but in-line with our expectations and our mine plan, the mine sequence for Q2 had us undertaking a stripping campaign, which was meant to unlock high grade ore blocks which we expect to see the benefit in Q3 and Q4 in the second half of the year and certainly expect to see higher production as a result. We did experience some lower head grade in part due to the wet season had some inventory adjustments and slightly lower ounces produced in the quarter compared to Q1, which in part gave rise to that higher cash cost per ounce number, but on a full year basis, again expect Q3 and Q4 to be our strongest quarters of the year and continue to expect our full year guidance to be between $750 and $850 an ounce in the cash cost side. So as gross margin goes continue to be very, very strong at around 50% for both the three and the six month periods to-date. And again demonstrate that the plant, the new plant is operating very, very efficiently and very, very profitably as Stephen touched on. On a year-to-date basis, we produced and sold over 11,000 ounces, generating revenues of almost $20 million. Operating cash flow of over $11 million. We did it at cash costs at around $808 an ounce in-line with our full year guidance. And again, again, very, very strong gross profit margins of around 50%. And again, we continue to use that cash flow that we generate to make value accretive investments right back into the business. And again, Stephen touched on it earlier, but another good example is a down payment on a much, much larger ball mill, which is expected to double throughput later this year. On the balance sheet side, it continues to be strong. We had a cash balance at the end quarter of around $9.5 million. We’ve working capital of about $5.5 million and EBITDA of around $4 million which again is a good proxy for cash flow. All of this really demonstrates strong liquidity to again fund that organic growth that we discussed a little bit earlier. And again importantly, we expect Q3 and Q4 to be our strongest quarters of the year. We’re working to improve on all the operational and financial metrics as we grow this business. And now that the plan is up and running, fully expect that to be the case. So I maybe pause there and hand the presentation back to Stephen. Stephen?
Stephen Mullowney: Yeah, Mike. Thank you. And just to give the investors in the group a sense to all the activities ongoing at Buckreef there’s a new role we put in place around the SML. We also have works around tailings facilities, new generator sets going in. There’s a lot of activity happening on the Buckreef site currently. And there will be activity, I don’t see slowing down. I actually see it ramping up as we continually expand the asset at Buckreef. On that front, Andrew is joining us today from Cardiff in the UK. He is actually right now at SRK’s offices there. And I’ll switch over to the next slide. And he will tell us about some of the things that are ongoing for the much larger, larger project that’s currently being planned, but in order to plan that out, we got to do the proper work, and we got to de-risk it properly. And that’s what the team has been doing and a lot of that has been through our Chief Operating Officer, Andrew Cheatle. Andrew, over to you.
Andrew Cheatle: Yes. Thank you very much, Stephen, and greetings to everybody from Cardiff, Wales in the UK. So we have been extremely busy with a lot of the preparatory work for work on building out the bigger mine. I’ll take you through the list here, we’ve completed our infill drilling program where we’d be focusing on Inferred Mineral Resources are looking to upgrade those to indicated, and we’ve been drilling both to the north and the south of the historical mineral resource. And we’ve also done some infill work on the Eastern Porphyry, which I guess into in a minute. I’m pleased to say that the metallurgical samples from 18 holes of 19 drill have gone out to South Africa. They have been received by SGS who are recognized global experts in this field. We undertook the first set of work we did some two years ago. So we benefit from continuity on that. The geotechnical study has been ongoing. We’ve completed now the drilling and the fieldwork. This is again with SGS terrain. Again, terrain being a global experts in that field and had already been two sites in terms of some of the underground and early stage open pit work. So that that is now back in Canada. With rock samples now going to laboratories for their testing of rock strength. In terms of the long term planning as well, this continues to also be ongoing. We’ve completed conceptual work with Ausenco in terms of mine layout and the plant expansions for the 2000 tons a day. And also very importantly, where do we place the life of mine TSF? And we have a number of locations, of which two have become very evident to us as that wants to go for. And we’re now planning in terms of design geotechnical work for those two locations. Stephen, you mentioned the Mineral Resource update. We now have substantive information to do that update. And I’m working very closely with SRK again global experts in Mineral Resource evaluation. And I’m here with that team as the company’s QP working with the SRKQP to make sure this all goes smoothly. And then in terms of the economic study for Buckreef, a part of my work here as well is working with the SRK management to define that work. So we have all of this going ahead and the objective for us is to obviously expand the scope of the 2018 PFS. The numbers are which on the right. This work was done at $1300 an ounce gold price. Mike, as you mentioned, we have been seeing $2,000 dollars an ounce, but hopeful and expect to see improvements in all of these metrics that you see here. And I think with some of the results we’re seeing, we are hopeful to be able to show that this property also has underground potential. Just carry on, Stephen.
Stephen Mullowney: Yes. Thank you, Andrew. There’s a lot of work going on, and this work needs to be done by the right people. It’s being done by the right people and the right firms. Obviously, our goal here is to make significant improvements on that 2018 PFS. Capital numbers from what we’re experiencing are way under, given how we’re building this out. Certainly, our geotech work needs to be done to get proper strip ratios and things like that. We’re hopeful that there’ll be steeper pit slopes and 52 degrees that were in this study. And so a lot of this work is ongoing and we’re cautiously optimistic of where it’s going to go.
Andrew Cheatle: That’s right. I mean, certainly as we’ve done this work, Stephen, and we’ve taken a fresh look at the mineral resource. We’re seeing certainly some sections here with just fantastic continuity in grades, but we’ve got to put the whole thing together, and we’re hopeful to have some answers in the very near future.
Stephen Mullowney: Yes. So, on that front, Andrew, one of the things is that the work that’s been done is on what’s known today.
Andrew Cheatle: That’s great.
Stephen Mullowney: And so the next slide is what’s unknown and what we’re doing on the exploration side. And these sort of models and updates keep on getting refined as more and more resources come into them and are found on the Buckreef property. So let’s get into that on the exploration side of what we’re doing a lot of the investors have heard this before, but bring them up to speed on what we’re actually doing now.
Andrew Cheatle: Yes. Thank you very much, Stephen. That’s a great segue. We have been drilling some more holes in Q2. These have been centered on the Eastern Porphyry and a few of them on the Anfield zone. As the results have been returned and we’re busy putting those results together and the plants and the maps together, and we’re expected to publish those results in a few weeks. Eastern Porphyry, I think, presents an opportunity for us to have a second mining front at Buckreef. And so it’s receiving very close attention from the draw a bit and also our estimation process. As you mentioned, we also continue to do a road deviation around the northern part of the pits. And Stephen, if you have the cursor there, you could just maybe just highlight where the road comes through the pit.
Stephen Mullowney: It’s right about here.
Andrew Cheatle: Just about there. You got it. Yes. So where the road comes through -- the existing road comes through the pit, it actually comes through a very nice high width, high grade area. So, once we open up the new road around the mine, around the SML, will have unfettered access now to the existing deposits, which is good news from the mining point of view. The other thing is that the deposit does remain open on strike, particularly to the Southwest and to the Northeast on the Main Zone. But I think from an exploration point of view and further during the exploration, to reiterate the points that between the Eastern Porphyry and an operating Chinese mine just to the south of us, there’s over three kilometers of defined mineralization by the by virtue of the artisanal pits, all of which have been abandoned. None of them are active that we have to go and drill. And so far, we like what we’ve seeing. Some of the longer term shareholders will remember that we’ve previously extracted grab samples from some of the artisanal pits which are running at 28 grams a tonne. But there’s an awful lot of work to be done there, in terms of an exploration play, we have no deposit to the north east, an active mine to the southwest and evidence of mineralization in between. So we have to put the drill bit in.
Stephen Mullowney: Thank you, Andrew, for that. And now with regards to guidance, I’ll hand it back to Mike, who will reiterate our guidance that we provided in our Q2 MD&A.
Michael Leonard: Yes. Thanks, Stephen. I touched on a little bit of this earlier, but as mentioned, the new mill, a 1000 tonne per day mill is operating at full capacity. Q2 was the first full quarter of the mill operating at capacity. It’s operating really well really efficiently as Stephen touched on. We’ve done over 11,000 ounces of production to-date at the half year. So, certainly well on track to achieve our full year production guidance target of between 20,000 and 25,000 ounces of gold. So we are reiterating that to that figure. I touched on it earlier, but after a fairly comprehensive stripping campaign in Q2, we’ve unlocked some higher grade ore blocks that again expect Q3 and Q4 as production to be even higher than we’ve experienced to-date. On the cash cost side, again, at the half year, we’re running at about $808 an ounce. We expect as the -- we enter the higher grade zones in Q3 and Q4 that cost profile continues to improve, as well as the ounce figure, the denominator in the cash cost per ounce calculation. So again, I’ve restated our original guidance of between $750 and $850 an ounce on the cash cost side. We touched on one of our growth platforms, which was looking at a third mill expansion. I’m pleased to say that we’ve made a down payment on that larger mill. That mill, I believe is on the water and on the way to Dar es Salaam. We expect once we integrate that mill and expand the plants that throughput could increase by between 75% and 100%. And in overtime, certainly expand production. Importantly, the guidance figures that we’ve summarized here today do not include the potential benefit that may come with this expansion. But certainly expect that construction to commence shortly and hopefully towards the calendar end of this year expect to benefit future action. So I’ll leave it at that around guidance and back to you Stephen, please.
Stephen Mullowney: Yes, thank you, Mike. Greatly appreciate it. Now, one thing I wanted to get into in this call is we’ve gotten a lot of comments back on ESG. And I wanted to make sure that investors understand our philosophy around ESG. ESG to us is something that is kind of ingrained and you just do it in business operations. But it also has to be something that benefits the shareholders and the corporations in general. And part of that is [social license] (ph) and part of that is actually managing costs. So a lot of our ESG initiatives are focused on prioritizing local content. And when you prioritize local content, you create jobs in the region. You also help to reduce cost and manage supply chain issues that have occurred in the economies around the world over the last couple of years as a result of COVID. So on the ESG front around corporate cost, obviously, we want to be on a hydro grid. It’s a lot cheaper than being on diesel. We want to utilize local suppliers as much as possible. As I said, we want to bring the supply chain closer. Also, labor rates in Tanzania are lower than elsewhere. And then we also do not get import taxes for instance. We want to have training of local employees as well. Again, we want them to be as local as possible if they live in the communities, they don’t live on-site. And we do normal things like recycling water and things of that nature that are just good practices. This ultimately leads to a lot lower. Social risk, as Andrew mentioned, before there are artisanal in this area. So we work and engage with the local, artisanal small scale community. We’ve actually hired some resources at times from this local community to work on-site and to help us advance the project. Our employees are predominantly local, so they live in the area. And if they live in the area, we want their children to be going to decent schools, having decent medical facilities, those sort of things that if people remember the mining history of 40 - 50 years ago, even in Canada, they used to be communities built around mines. That’s not dissimilar to here. And we work with our joint venture partner with regards to drilling. They do a great job on it. The international rates are actually very competitive and are doing a great job. So the whole goal of the ESG program is to integrate with the community. Be doing the right things, increase our productivity and the governance of our boards and things of that nature is all put into place. But it’s really integrated into operations and is not a charity by any means, but its good practices Andrew, you’re very close to a lot of these initiatives getting into that.
Andrew Cheatle: Yes. Stephen and I share that it was very, very well put. Thank you very much. Let me just illustrate by an example perhaps. Many mining operations build massive concrete walls with razor wire on top to try and keep communities out. Because we have very, very good relationships with our local community, in many respects they are in partnership with us as it were. We don’t need and we don’t have the security risk to build those kind of barriers between ourselves and community, which includes artisanal miners. They love that they’re not allowed to come onto our ground, and they don’t. So there’s obviously cost benefits from that, but there’s also less friction in our environment as a result of that. I think some of you might have also heard me talk about the fact that our CIL tanks, the big blue tanks you see in the picture here that Carbon-in-Leach tanks have all been built locally in a city called [Monter] (ph), about 3.5 hours away from where we’re working by a shipbuilding community that build big ships that we would be used to sort of seeing whether it’s in the Caribbean Sea or crossing the Baltic Sea, things like that, 400, 500 people, a size ferries. They can build ships. They have all the equipment, laser, cutters, plasma welders. They can bend steel, which they do. And once we’ve sent them the engineering [drones] (ph), which we work with Ausenco in terms of all the engineering specifications, we did not have to draw one extra hole or bend one extra piece of steel. It all worked. That gives us a huge amount of credibility in terms of our community, in terms of our local and federal government. That’s been very, very successful. But it’s also from a business point of view and from a shareholders point of view, it’s a lot less cost. And instead of bringing in from Turkey or from China or from South Africa, we’re substantially derisked operation by working with people who are only 3.5 hours away.
Stephen Mullowney: Yeah. So I’m just going to finalize this, Andrew, is look. What we do is work. I don’t know if any mining company has done these type of expansions as quickly and for this cost. And then for it to actually be breaking the expectations that we have put in place on the production side of things has been great. So our strategy is working. And has benefited shareholders to-date in the development of the Buckreef project.
Andrew Cheatle: Stephen, I’d like to just add a bit of quantity to those numbers. Typically at 1000 tonnes per day, we have been receiving EPCM quotes in the order of about 40 million tonnes. We’ve built 1000 tonnes a day. Should we say if you’re just about I think about $6.4 million. So that’s been a huge benefit to the shareholders. And the speed of which we’ve been able to do this has also been very good in terms of bringing revenue forward to allow us to continue to grow and drill the operation.
Stephen Mullowney: So with regards to what’s up coming. So, obviously, we got a lot of work ongoing. Shareholders we’ll continually see exploration and infill drill program results coming into the market. There will be continued news on our third mill expansion over the next six to nine months. We have a lot of studies ongoing and a lot of work being done there on the MET study, geotech study, resource model updates, gaming facilities, a lot of work ongoing, so a lot of news flow from that. And then the planning and execution of a much larger gold --much larger scale gold operation is common. Now the work is being done. It’s being put together. It’s very methodical. So it does take some time to get it right. But it is certainly in the plans, and Andrew has been and myself had been meeting with suppliers around this. As well as our general manager, even with regards to a much larger [mill] (ph) to grow our property over time. So a lot of a lot of milestones upcoming and continue, hopefully, good news to come in the future over the next year or so. So with regards to where we are right now, share price has been going up with regards to gold price going up as well as we start to get into positive operating cash flow. Hopefully, that continues. And certainly, that is our expectation as we continue to successfully execute the growth at Buckreef gold project. So on the last slide, I’m going to leave it on this slide as we get into Q&A. As I mentioned in a previous slide, a lot of work ongoing, a lot of things happening, and very rapid progress continues at Buckreef. And we’re hopeful that it’s going to continue to happen. So without further ado, Christina, let’s hand it over to the Q&A.
Christina Lalli: Certainly, Stephen. Gaylene, up to you?
Operator: [Operator Instructions]. So the first caller on the line, who has the question is Jake Sekelsky with Alliance Global Partners. Please go ahead.
Jake Sekelsky: Hey, guys. Thanks for taking my questions and congrats on a strong quarter.
Stephen Mullowney: Thanks, Jake.
Jake Sekelsky: Growth is obviously a big focus right now. And just looking at the additional [Indiscernible] thoughts way to say. Can you remind us of the total cost of the mill and maybe some color on the installation costs there?
Stephen Mullowney: Mike, you want to give just an overview of the cost of the mill and then I think there’s a question in the Q&A queue as well that gets into how we’re going to fund this?
Michael Leonard: Yeah. I can touch on it. I don’t know that we’d explicitly guided a full capital cost, Jake. But I think you’ve got a sense for what the first 1000 tonne a day mill cost us. We expect to improve upon that cost. I think it’s probably the best way to put it. It’s effectively layering in a much larger mill with some supplementary tax. So I’d expect, you know, conservatively something slightly less than what the first thousand tonne a day mill cost.
Stephen Mullowney: Yeah. And then, Mike, also we need to upgrade to transformer as well for the larger operation. So and the generators that have been brought on the site will accommodate the larger expansion and there being installed as we speak. So we haven’t given full guidance, but for instance, there are seven tanks right now on-site. There needs to be an additional two tanks. So I don’t expect this to be -- quite honest, it won’t be as expensive as the first thousand tonne.
Andrew Cheatle: And I think the only thing just to mention to add to the shopping list Mike is just some adjustments to the front end with our crushing circuit.
Stephen Mullowney: Yes. That answer your question, Jake?
Jake Sekelsky: Yeah. That’s helpful. And so that’ll be, you know, another low cost, mill expansion for you guys and I’m assuming it’s not the last. You able to just share even just at a high level any thoughts for future additional expansions and what that might look like down the road even if it’s over the next few years?
Stephen Mullowney: Yes. So what I would classify as answer is more aspirational, is Andrew’s and team are updating resource models. We’re doing all these met studies and things of that nature. We want to make this into a large scale mining operation. And thus, you know, we envision this being 3 to 4 million tonne per annum mine at some point in time. And we’re now starting to work, to lay that out in the groundwork, to lay that out in a shareholder accretive fashion. And part of that is going and evaluating what mills are available worldwide. We’ve been doing that. We’ve been talking to various parties around that. Have a sense of what that major capital cost may be. And ultimately, we want to get this to be a 100,000, 150,000 an ounce type of property or even larger than that overtime. So that you’re right. There will be future mill expansions. How they’re going to look and how quickly they’re going to come online. That’s part market, and that’s part with the work that we’re doing now what the outcome of that work is.
Andrew Cheatle: And I think, Stephen, they are particularly with that exploration side of it. Right? It won’t in in a very positive scenario, we may well have two parallel pits.
Stephen Mullowney: Correct.
Jake Sekelsky: Okay. Thanks for the color there. And then just lastly that segues into my last question for Andrew. On the exploration, are you seeing or are you targeting any higher grade areas that you might be able to bring into the larger mine plan for 2024 going forward?
Andrew Cheatle: Yes. Jake, we have seen as we reviewed historical information on the eastern porphyry, there are some higher grade zones in that that grab our attention. And we’re going to also continue to drill through from Eastern Porphyry and Anfield, where we did have those higher grade grab samples.
Michael Leonard: And to give you a little bit of sense, Andrew, of what the type of work that’s going on from a mine planning perspective, you know, in a new resource model that’s being updated. You know, SRK and the team have gone through and put all the sections in place. So we have a much better understanding of where the high grade zones are in this deposit that we have before. And certainly, when you lay out a mine plan, given that’s predominantly based on net present value, then you will target those zones earlier in the mine life, if possible.
Andrew Cheatle: Yeah. And Stephen, I did mention earlier in the presentation that once the new road is open, which is a matter of weeks now, that enables us to go then through the position of the existing road. And there are some indeed high grade blocks, very wide, very good grade, sitting immediately to the north, which will now be accessible for mining. And Jake you specifically asked, I think, also 2024, I think it’s fair to assume that we would continue to extend the pit now northwards into that ground.
Jake Sekelsky: Perfect. Okay. Thanks for that.
Stephen Mullowney: And that kind of answers the question, how we’re going to pay for it all?
Michael Leonard: Yes. Stephen, I think you said the deposit, obviously, it ranges in width but it’s widest points. This deposit is 40 meters wide.
Operator: Okay. The next question is from Heiko Ihle with H.C. Wainwright. Please go ahead.
Heiko F. Ihle: Hey, can you hear me alright?
Stephen Mullowney: Hey, Heiko. How are you?
Heiko F. Ihle: Perfect. You’ve made a pretty good lead over to my first question, it’s impressive what you guys have done there in the last over two years. Looking through, you mentioned some equipment earlier that you’re buying versus renting like the gensets on this call. In fact, those last comment here a little bit ago. It means you’re front loading some expenses. Can you give us some representative rates return that you anticipate from, buying stuff versus renting it?
Stephen Mullowney: Yeah. The example that I use is always a loader. So we’re going buy loaders for the processing plant. They’ll cost around $300,000 and we’re currently renting two loaders for instance for $70 a month. So you could guess the return on that is significant. With regards to the gensets, you know, the return comes to two basis, we no longer rent them, so we’ll avoid their rental cost. And then also, they’re now variable gen set. So when the electricity goes down on the line right now, we would need to turn on the gensets 100% for the processing plant. When the voltage goes out online going forward, the gensets will come on to supplement the voltage. So it’ll burn a lot less diesel going forward. So the return on that is going to be it’s a matter of months as well. It’s probably around six, seven months is around that. So if you apply that to a model and IRR, you got significant returns on those type of investments. And we’re doing that right across the whole operation now and that is up and running of going in and finding those cost savings.
Heiko F. Ihle: Fair enough. Q2 was the first full quarter with the newly expanded plant. I mean, this thing is now obviously humming, but is there anything else that might be a bottleneck. I’m also asking this in part with the expanded milling circuit to see maybe if there’s any lessons that can be learned [Indiscernible]?
Stephen Mullowney: Yeah. We’re always open with the improvements we’re making and the challenges and challenges are always opportunities. So, one thing that we need to do, and we’re and as well under control is expanded tailings facility. So we’re working with authorities now, and then to get that new tailings facility up and running. That’s well advanced. And also the moral pit for that well advanced as well. So we don’t anticipate any issues on that. Longer term, we need to, as Andrew mentioned, have the long term tailings management under control. We’re well advanced on that of identifying sites, working with local authorities around land both on and off the property for that. And we’re working with Ausenco to design that. And the goal for that is when you’re in operations, when you’re doing stripping, you can move it over and build your tailings facility over time versus building it all upfront. So it’ll be a tailings facility that’s built for waste for the pit essentially over time. So that’s one thing that we need to be doing. Another challenge too is there’s a step change here going from, you know, a thousand tonnes per day, doubling that capacity, 2000 tonnes per then thereafter. So we need to organize mining rates, mining equipment, employees, all of those sort of things will take time and challenges to bring in appropriately. So this expansion won’t be ramped up as quickly as the other one because we had to get all of those sort of logistical issues correct. And it takes some time for that to be planned out properly and to be assured that the proper equipment and human resource skill sets on-site to manage it.
Heiko F. Ihle: That’s very helpful. Thank you all and keep up the good work.
Stephen Mullowney: Thank you, Heiko.
Andrew Cheatle: The next question is from Mike Niehuser with ROTH MKM. Please go ahead.
Mike Niehuser: Hi, guys. You can hear me okay?
Stephen Mullowney: Yeah, Mike. How are you doing?
Mike Niehuser: I’m good. Great. I hope you’re well. Question for Mike. Can I get you to repeat about the new ball mill when that’s going to be coming online? I think what I heard was maybe toward the end of fiscal 2023. So kind of the first full quarter or ramping up would be in the first fiscal quarter of 2024. Is that right?
Michael Leonard: Yeah. I can touch on that. It’s towards the back end of the calendar year this year, Mike, so you’re right. You’d likely expect to see some benefit in the early part of next fiscal year. Correct?
Stephen Mullowney: Yeah. So we will deal with calendar 2023 Mike as opposed to fiscal 2023.
Mike Niehuser: Okay. And also you mentioned that the head grade was off in the quarter. I couldn’t find that. Do you know what that was approximately?
Michael Leonard: Yeah. I think, Andrew, I don’t know if you have that number handy. I think it was somewhere around just over $2000, but a little bit less than what we rolled up in Q1, Mike. And Andrew, maybe you can you can touch on the impact to wet season has on things like grade.
Andrew Cheatle: Yes. Certainly, Mike. The grade has been quite consistent. The variations are a little bit minor, but obviously, when it’s a wet season that we’re dealing with the upper part of the of the deposits where we are in place and so as we’ve had to go deeper, to get the higher grade. We’ve had to also mine those sort of wet clays. It slows down the equipment. The best way to describe it guys is, but we know this. We have to plan and we have to be strong at all seasons. So what we did is access parts of the stockpile, which is deliberately there. For us to ensure that we have a consistent mill feed of a thousand tonnes a day. The way I like to characterize it for those that the fly is that the high grade is always fast tracked in our mine. And then the medium grade is sort of in the economy class queue. And so we just had to sort of put a bit more of that in for this quarter. And Mike, that’s why you’re sort of seeing the higher grades coming in now towards the end of this quarter. And Mike, I think you also alluded that the last two quarters are stronger quarters in this fiscal year.
Michael Leonard: Yeah. And Mike, to specifically answer your question, the head grade that we rolled up in Q1 was 3.06 grams per tonne and in Q2 was 2.07. So quarter-over-quarter, that was part of the impact on ounces produced.
Mike Niehuser: Yeah. Thank you. The drill program for either calendar or the rest of this fiscal year can you give us an idea of what your goal is for drilling either holes or meters?
Stephen Mullowney: Yes. So in terms of holes, Mike, what we’re going to focus on is grade control drilling and a bit of sterilization. In terms of the diamond drilling on the deposit, we will be focusing at the Eastern Porphyry and the Anfield zone, which is Anfield itself is a fairly early stage brownfield. Eastern Porphyry would now be an extension.
Michael Leonard: And I’m just going to add to that.
Mike Niehuser: Do you have an idea of the size of the program?
Stephen Mullowney: We’re still working our way through that Mike.
Mike Niehuser: Okay.
Andrew Cheatle: To give you a sense of why we’re focusing on there is, the top part of the main zone is really densely drilled. So we know that those ounces can come into production really quick. And, thus, we’re focusing on the surface in Anfield and Eastern Porphyry for a reason because we believe that those ounces may be able to come fair quickly too.
Stephen Mullowney: Yeah. And provide additional production and flexibility.
Andrew Cheatle: Yeah. The method to…
Mike Niehuser: No problem here. You’re doing a lot of network and drilling and resource assessment it almost seems like you’re moving closer to your realizing your aspirational concept. And I’m getting the feeling that that you’re basically moving from the oxide and really understanding the area in between that and the sulfides. And I’m thinking this calendar year is going to be a big year for really coming away with an understanding of the project’s potential. Is that close?
Michael Leonard: Yeah. You’re 100% right. That’s exactly why all this work is being done. With regards to getting into what you say transitional and harder material. Some of that material has already gone through mills mixed in with the oxides. And as reported in the quarter, there has been no reduction in recovery rates, which is possible.
Mike Niehuser: Yeah. That’s huge. Also, just lastly, just to comment, I think the comments you made about working with your buying locally from a timing, from an investor point of view, from quality building relationships is an unrecognized value here. And it doesn’t happen overnight. So congratulations on all that and thanks for taking my questions.
Michael Leonard: Thanks Mike.
Stephen Mullowney: Thank you very much, Mike.
Operator: I’d now like to hand the meeting over to Christina Lalli, Vice President, Investor Relations, who will take us through the questions submitted in writing.
Christina Lalli: Thanks again, Gaylene. So gentlemen, I think there are a few questions along the same line of topic here from a few of our shareholders who’d like some more information on our joint venture and the status there of what’s the [MECO] (ph) who obviously is a non-controlling interest in our financial statements. Can we speak a little bit to that relationship? And how, basically, that works out and how we see that in our financial statements.
Stephen Mullowney: Yeah. So a good question. The non-controlling interest does show up in the income statement of the financial statements. With regards to the relationship with [MECO] (ph) the government relationships, it’s very strong. So we have a good working relationship in Tanzania. We’ve built up a considerable amount of goodwill over the last two years through strong execution on the ground. That’s both from the shareholders and that are on the call today as well as from all the local stakeholders that are in Tanzania. With regards to how net income is split, look we don’t split net income, is split for accounting purposes. But from a cash perspective, the operating cash flow was reinvested back into the business to continually expand the business. Also, as part of that agreement, we get capital repatriation back first. So any capital that we spent at Buckreef gets a return to TRX first prior to any dividend splits in the future. So right now, the most of the income that’s generated in cash flow is reinvested right back into the asset to grow it.
Christina Lalli: Great. Thank you. A question from a shareholder wondering about the third mill expansion. If we are truly serious about the fact that our current cash flow will indeed pay for that third expansion if we expect there to be enough cash, basically.
Stephen Mullowney: Yeah. That’s in the forecast. So when we rolled up a budget, there are expenditures for the third mill expansion. As we mentioned, it should come online at the end calendar 2023. That is the expectation currently to be paid for cash flow for the business. There’s also other ways and I think this goes into more shareholder dilution question on paying for the expansion is does other forms of financing that are available for that? And we could do more on a goal prepay for instance, we can bring on some debt at the asset level, which we haven’t done at this point in time. So there’s other ways to pay for that expansion if necessary.
Michael Leonard: Yeah. And I’ll just maybe add to that, Stephen. And the way we go about our budgeting is very, very conservative. And we do build in contingency for variances mining is a variable business as we all know. So we certainly build in contingency. But in terms of conservatism, we ran our budget at $16.50 an ounce, for example. And we ran our half year forecast at $17.00. So certainly some upside on things like gold price, but we do have contingency for unforeseen expenditures as they come up.
Christina Lalli: Great. Thanks, gentlemen. Another question comes to us on the topic of possible M&A or purchasing of a new land or titles. Can we speak a bit to that subject?
Stephen Mullowney: Okay. On M&A obviously, we have, property right now in Tanzania, Buckreef property is a great property. And it requires a lot of our time. Would we look at M&A opportunities that may be accretive and utilize the skill set that we have? We were able to, go in, turn around an asset very quickly, build an asset out very cheaply. If there’s any complementary types of M&A opportunities out there that could utilize that type of skill set, then obviously, we’ll be doing shareholders as a service of not looking at those type of opportunities that can be turned around. It would be very shareholder accretive very quick.
Christina Lalli: Okay. Thank you, Stephen.
Stephen Mullowney: So, yeah, we would look at M&A opportunities that complement our skill set.
Christina Lalli: Great. Thanks. And I think lastly for the moment, I’d like to remind again the callers, the people listening in, if they do have a question, to ping us while we’re here online. If for any reason you’re having technical difficulties, you can indeed reach out to us again after the call to me directly, if you will. For the moment, the last question comes from a long time shareholder. If we have any thoughts or can foresee in the future paying a dividend?
Michael Leonard: Yeah, I get asked this question in every queue quarterly call. Right now, the asset is extremely capital intensive as we continue to grow it. There is more benefit in reinvesting the asset from a shareholder appreciation perspective is the increased metrics like EBITDA per share, net asset value per share, all of those type of metrics. So in the foreseeable future, which is a short to medium term, I do not see the payment of a dividend at this point in time. I know that may be different than what was long time shareholders may have been told, but that is the current business philosophy of growing value for the company. After that, once we get into a much larger project, all those options are on the table.
Christina Lalli: Great. So I don’t see any questions remaining in the queue. On behalf of the TRX Gold team I’d like to thank everybody for joining us today. We are always available to you so please don’t hesitate to reach out to us, and I’d like to wish everybody a great day.
Operator: This concludes the meeting. You may disconnect your lines. Thank you for participating, and have a pleasant day.
Stephen Mullowney: Thank you.
Michael Leonard: Thank you.
Christina Lalli: Thank you.